Operator: Good morning, ladies and gentlemen. Welcome to Vivo's Third Quarter 2022 Earnings Call. This conference is being recorded and the replay will be available at the company's website at ri.telefonica.com.br. The presentation will also be available for download. This call is also available in Portuguese. To access. you can press the Globe icon on the lower right side of your zoom screen and then choose to enter the Portuguese room. After that, select mutual regional audio for a better experience. [Foreign Language]. We would like to inform you that all attendees will only be listening to the conference during the presentation and then we will start the question-and-answer section where further instructions will be provided. Before proceeding, we would like to clarify that any statements that may be made during this conference call regarding the company's business prospects, operational and financial projections and goals are the beliefs and assumptions of Vivo's Equity Board and the current information available to the company. These statements may involve risks and uncertainties as they relate to future events and therefore, depends on circumstances that may or may not occur. Investors should be aware of events related to the macroeconomic scenario, the industry and other factors that could cause results to differ materially from those expressed in the respective forward-looking statements. Present at this conference, we have Mr. Christian Gebara, CEO of the company; Mr. David Melcon, CFO and Investor Relations Officer; and Mr. Joao Pedro Carneiro, IR Director. Now, I will turn the conference over to Mr. Joao Pedro Carneiro, Investor Relations Director of Vivo. Please, Mr. Carneiro, you may begin your conference.
Joao Pedro Carneiro: Good morning, everyone and welcome to Telefonica Brasil's conference call to present the third quarter 2022 results. The call will start with our CEO, Christian Gebara, commenting Vivo's operating and financial highlights, followed by an update on the progress of our digital ecosystems and ESG initiatives. Then our CFO, David Melcon, will go through our cost and CapEx evolution, net income, shareholder remuneration and free cash flow. I'll now hand it over to Chris.
Christian Gebara: Thank you, Joao. Good morning and thank you for joining our earning calls. We will start on Slide 3 with the highlights of the third quarter of 2022. In the period, we were able to reach double-digit growth rates in access, revenues and EBITDA, leading to an overall improvement of our business profitability. Our total access grew 14.6% year-over-year to 112 million subs, of which 57.5 million users in postpaid and $5.3 million in FTTH, contributing for total revenues to increase 10.6% in the quarter as mobile and fixed expanded to the tune of 14.7% and 2.1%, respectively. Our strong operating momentum capital efficiency initiatives that helped our cost of operations to grow below inflation, led to an EBITDA expansion of 12.3% year-over-year with a margin of 40.6%. The result drove improved bottom line performances as net income reached BRL1.4 billion in the quarter, up 9.3% year-over-year. In line with the enhanced profitability and robustness of our business model which can be attested by the BRL6.5 billion in the free cash flow generated over the first 9 months of 2022. We already deliberated distribution of BRL3.4 billion in dividends and interest on capital complemented by almost BRL500 million invested in the buyback of our shares. We remain fully committed to maintaining a healthy level of shareholder remuneration while also striving to create value and improve returns by investing to further differentiate Vivo's assets and value proposition. Moving ahead to Slide 4. Our revenues grew well above inflation in the quarter, expanding double digits for the second quarter in a row. This performance is being driven by the service we label as Core that already represent 92% of our top line and grew 13.8% year-over-year as we reduced our exposure to non-Core legacy operations and increase the weight of revenues coming from service that have been proving to be essential with a greater lifetime value, the resilience of our business model can only improve. On Slide 5, you can see the detailed results of our main services. On the mobile side, service revenue grew 13.8% year-over-year with strong displays from growth of postpaid and prepaid that reached a growth rate of 12% and 21.5%, respectively. We are seeing early signs of benefits coming from mobile consolidation in the form of improved user quality and experience that turns into higher consumptions and market rationality. Moving to the fixed side of our core business, revenue expanded 11.2% year-over-year, again, driven by the FTTH and corporate data and ICT, both of which have been spearheading the transformation of our total fixed business. To further enhance our corporate data and ICT presence, this month, we concluded the acquisition of Vita IT. -- now called Vivo Vita for up to BRL120 million. Vivo Vita already generates over BRL100 million of annual revenues and it will allow us to increase our capability network management and recruitment solutions. Moving to Slide 6. Once again, we are pleased to present very solid operating results on mobile and fiber that are a direct consequence of our competitive advantage of being the only player capable of providing connectivity service over the best technologies available in both segments. Our mobile base expanded 18% year-over-year, reaching 97.3 million subs. Quarter-over-quarter, we saw a reduction of 1.9 million lines because of 3 million access coming from Oi that were disconnected in September as they were considered inactive according to our criteria. Excluding the effect of this clean-up, we are able to further improve the already very strong level of human postpaid net debt posted in the second quarter of 2022. With 987,000 new subs to be incorporated over the past 3 months. Profitability remains on the rise, while we keep on migrating prepaid customers to our hybrid offers and maintaining healthy churn rates. On fiber, during the quarter, we expanded our FTTH network to 1.2 million new premises, reaching 22.3 million home passed. Our accelerated footprint expansion, coupled with the fully converted Vivo total offer that already accounts for 40% of our gross-adds, led our FTTH customer base to expand 22.1% year-over-year to 5.3 million access. Moreover, we recently launched our 1-gigabyte speed offer that will keep in further differentiating Vivo from our broadband providers and increase the average speed of our customer base. On Slide 7, we update you on the evolution of our digital services initiatives, starting with B2B. A year ago, in the third quarter of 2021, we disclosed for the first time the amount of revenues coming from digital B2B products, such as cloud, cybersecurity, IoT and digital solutions which back then totaled BRL1.9 billion. A year later, the same pool of revenues grew 33% to BRL2.5 billion, already representing 5.3% of our top line. These outstanding results are product of our broad portfolio of solutions that allow companies of all sizes to digitalize their operations. On the B2C side, we highlight our Vivo Money product that evolved in a more accelerated pace. In September, we reached BRL160 million of credit considered since its inception, almost doubling in size quarter-over-quarter. We have very ambitious plans for financial services and we continue to expand our portfolio and volume. Moreover, Vivo Ventures, our corporate venture capital fund, made its first movement during the quarter, committing to invest $3 million in Klavi, a fintech focus on providing open finance solutions. Going to Slide 8. We are pleased to announce Vivo was ranked by S&P Global as one of the top 10 most sustainable Telcos in the world according to the Global Sustainability Corporate Assessment evaluation after increasing our score versus last year. Now moving to recent developments. On the environmental front, we now expect to have 85 green power plants in operation during next year, of which 42 are already functional, extending our commitment to use renewable energy in our operations. Moving to the social front as part of our effort to reflect Brazil's diversity in our workforce, we launched a vivo training program in which 50% of roles will be filled by black people. In governance, yesterday, we announced the inclusion of Vivo's share as part of our executive variable compensation, further strengthening management's alignment with our shareholders. ESG is a core pillar of our strategy, as such as we continue to work very hard to improve and increase the number of initiatives taken to build a more sustainable business model. Now, David will take us through the financial highlights of the quarter.
David Melcon: Thank you, Christian and good morning, everyone. On Slide 9, we detail the evolution of our cost base on an annual basis as we continue to transform our revenue mix, speeding up the top line growth to the sale of digital solutions and equipment that are heavier in terms of costs but much lighter in terms of CapEx. The analysis of our OpEx performance split between cost of service and cost of operations becomes even more important. We start with a revenue-driven cost of services and goods sorts which represents 32% of our total OpEx in the period and grew 26.9% year-over-year. This increase is mainly in line with the annual growth of our revenues coming from B2B digital services and handset sales which were up 33% and 26% year-over-year, respectively. Therefore, as we scale up the proportion of revenues coming from these segments with benefits to customer retention and increase lifetime value, cost should respond to a similar trend. Now we move to our cost of operations that grew only 2.6% year-over-year, considerably below the last 12 months inflation that reached 7.2% in September. Here, we continue to be very effective in terms of capturing efficiencies related to the way we serve our customers by moving interactions to digital platforms which are user-friendly and far less expensive than processes involving human interactions. In addition, in the third quarter this year, we reached our lowest level ever of bad debt over gross revenues which is also dropping 18% year-over-year. This result is a clear sign of how relevant our services are to our customers. Now, moving to Slide 10. Year-to-date, we invested over BRL7 billion in an operation, accelerating the deployment of capital in technologies that will allow us to create further differentiation versus our competitors. Our recent operating performance shows that this strategy is building fruits as Vivo continues to extend its leadership in higher value segments. Even though we are investing more to guarantee Vivo's present and future commanding position in Brazil, we continue to see our operating cash flow margin trending above 20% of revenues, a level we see as sustainable going forward. Moving to Slide 11. In the third quarter this year, our net income grew 9.3% year-over-year, reaching BRL1.4 billion. This positive evolution which was backed by a solid operating and financial performance in the period, creates a space for Vivo to continue directing a relevant amount of resources towards the remuneration of our shareholders. In the first 9 months, we already declared the distribution of BRL3.4 billion as dividend and interest on capital. On top of that, so far this year, we invested almost BRL500 million to buy back our shares in a movement that enhanced dividend per share. Moreover, on October 18, we paid out BRL3.5 billion related to the second tranche of the dividend and interest on capital delivered to distribute 2021 results, totaling BRL6.2 billion return to shareholders during 2022. Finally, on Slide 12, you can see that year-to-date, we generated BRL6.5 billion of free cash flow. Considering the last 12 months' figure, we closed the quarter with a free cash flow yield of 10.6%, being able to convert BRL1,000 of net revenues into BRL154 of free cash flow. We continue to be a strong cash-generating company that help us to maintain a healthy balance sheet, allowing us to follow investment alternatives, both organic and inorganic, maintaining an alternative shareholder return while also providing for a space to optimize our capital structure. Thank you. And now we can move to the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Bernardo Guttmann from XPA. Please, Mr. Guttmann, your microphone is open.
Bernardo Guttmann: Hi, good morning, everyone. Thanks for taking my question here. Actually, I have two questions. The first one related to 5G. The migration of data traffic to 5G networks seems to be faster than expected. If this trend remains in place, can we expect any CapEx or OpEx avoidance? I don't know if it would be easy to isolate these elements since there are other movements that should drive efficiencies, such as the additional spectrum from? And the second question, so if you could make a general comment on the mobile competitive environment, how are things trending in both segments, postpaid and prepaid? Is the competitive landscape easing now that Oi is no longer here? Thanks.
Christian Gebara: Bernard, this is Christian. I'll try to answer the two questions. In 5G, as you know, we deployed 5G in all capitals but in around, I don't know, 500 neighborhoods in the cities and we are growing our expansion. Also today, we may have around 1,500 sites where we have the 5G deployed. Out of our customer base in the postpaid, if you consider only postpaid around 8% to 10% of users already have a 5G smartphone. Although we -- in our stores, most of these smartphones that we are selling 5G, the penetration of this technology among users are still limited. We see that users when they have a 5G device, they use more data around between 40% and 50% of data and maybe that's the beginning because they are improving the technology but again, we expect these customers to be using more data. So going forward, we're going to grow the footprint of 5G and the devices will be more available for more people but we are still very in the beginning of the process, so we don't see a big change in what we were expecting in our deployment for going forward. And again, when we do 5G, we are replacing some investment that we will do in 4G. But considering Brazil, the presence of 4G is still very large and will be very large in the short term. In spectrum wise, we are in a very good situation, as you know, because we got the -- a lot of spectrum in the auction and especially 3.5. That is for 5G but also 2.3%, 50 megahertz in some regions that also allow us to give the 5G experience to these customers. And the spectrum that we acquired from Oi also help us and going forward, we're going to have also a change in the usage of the spectrum of 2G, 3G also moving to other frequencies and going to the -- using these frequencies to 4G and 5G. So again, according to plan and we are confident that we have the resources and the spectrum to respond to the demand. To the second -- I don't know if I answered the first and then I go to the second...
Bernardo Guttmann: Very clear, Christian. Thanks.
Christian Gebara: So going to the second, the mobile market is and was very competitive even when we had the presence of Oi. As you know, Oi was already in a very weak position in the last years. They didn't have the 700 megahertz for 4G. So the competition was already very strong among the three players. We see opportunities for more rational market now because there was this tax reduction that allow us to sell more services to our customer base. and I think that's something that we are pursuing here and our competitors are doing the same. We have the opportunity to also to give more data in a competitive pricing for prepaid customers. So you see evolution, good evolution of our revenues that prepaid as though as you see also in the postpaid. So we believe that considering all the investment that we all need to make and all the investment that we already made in the past buying these frequencies of 5G, buying the assets from Oi that the market should be more rational. So we are very optimistic about the evolution going forward. I don't know if that's also answered...
Bernardo Guttmann: Yes, that's very clear, Christian. Thanks a lot.
Christian Gebara: Thank you for the question.
Operator: Our next question comes from Luca Sari from UBS. Please, Mr. Sari, your microphone's open.
Luca Sari: So, thanks for having my question. So two on my side too. The first one, I would like to understand the dividend pace going forward, if you can give us more detail, does anything change with the tax gains? And how you’re seeing the fourth quarter in terms of distribution and 2023? And finally, regarding the ICMS pass-through, how are the clients reacting to the selling efforts? Thank you.
Christian Gebara: I'll answer the second one and David answer the first one. Luca, this is Christian. So the SMS, as you know, we are implementing fully the reduction in all services in all segments. So it's positive because there is a reduction in price for all our plants. Also, the ability for some customers that were looking for -- they wanted to have more data allowance. Now they can upgrade their plan with the similar price that they used to pay in the past or they can include the digital service that they were not allowed to have in the past because the wallet now the share of the volatile dedicated to Telkom was not enough for all the servers that they want to acquire. So it's a very positive movement. Now we were trying very hard to reduce ISMS over Telco, especially after the pandemic that it showed to everyone that was essentially the service. So it's a positive movement. If you look our commercial performance, that's not only related to that but if you see our commercial performance, we have very strong net adds that's coming from new customers. It's also coming from migration from prepaid to hybrid and also for a very, very low churn. So even when we have to pass through the price increase due to inflation that we normally do, we do that in our plans and we have more than 82%, 84% of our revenues in a recurrent basis. So we are passing for inflation. But in many cases, the inflation is being offset by the tax reduction. So it's positive, it's controlling also downgrade and so we are very optimistic going forward, our ability to increase our share of the expenditure of our customers in Telco technology because we're also selling a lot of services, the digital service that I mentioned before. I don't know if I answer them, I pass to David for the...
Luca Sari: That’s perfect, very clear. Thanks.
David Melcon: Hi Luca. So in the first nine months of the year, we have already declared BRL3.4 billion which is equivalent to a dividend yield above 5% and there is still three months to go until the end of the year now. On top of that, if you consider the additional share buyback we did in the period which is something like BRL500 million, the dividend yield goes up to 5.7% in nine months. But as you say, the third quarter net income, for sure, would be also a positive -- would have a positive impact in the dividend for the year as we maintain our practice to distribute 100% of the payout. The free cash flow was also very strong and the free cash flow yield is around 10%. So we are continue exploring all alternatives to our current capital structure to continue being attractive as still we have been until now.
Luca Sari: Okay, very clear. Thank you.
Operator: Our next question comes from Marcelo Santos from JPMorgan. Mr. Marcelo, your microphone is open.
Marcelo Santos: Hello, Christian, David, Joao Pedro. Thanks for taking the questions. I have two. I wanted to focus a bit on the CapEx and on the fiber deployment. Starting with the fiber deployments, I wanted to understand the strategy of the company. I saw that you accelerated homes passed in the third quarter. At the same time, this year, you’re seeing lower fiber net adds for the whole industry, lower broadband net adds for the whole industry. So could you please discuss a bit this and maybe if you’re going to be able to reach your target before 2024? And the second question, kind of related to that, is the CapEx outlook. I think the CapEx was at least a bit higher than what we expected in the near term. How should we see CapEx for this year and for the next year? Thank you very much.
Christian Gebara: Okay, Marcelo, this is Christian. Thank you for the question. So yes, I think the market accelerated after the pandemic in 2021. And then now we see a performance from all players, as you said, of the market are lower than we saw last year. I think it's normal. I think there was a lot of demand after the open up of the economy and also because our service became very essential. So everyone wants to have a very good connection at home. And fiber is the best one when you need download and upload and that's the reality that we all face right now. Although the market is lower, as we said, we are the leader, we are getting most of net adds of the market. And we have the possibility here to be even stronger if you consider that we are the only one with offer that blend the best technology in fiber with the best coverage and quality perception in the mobile. So going forward, Vivo Total, that's our key product of convergency, is going to be even stronger. And I'm going to add to that also the digital service that I mentioned before. Our plan going forward is the 29 million home passed that we talked in the last call, I guess. That's going to be built by 6.4 million home passed from FiBrasil, our co-controlled fiber and nutra-fiber network with CDPQ, 1 million with our agreement with ATC in the Mina Gerais and 21.6 million of our own deployment of Vivo deployment. So that's the plan for right now and that's what we are still keeping for the future. So if you consider also our customer base today is 5.3 million customers and we said that by the end of 2024, we would be reaching a number between 8.5 million and 9 million. So we accelerated and we see now today that we have the leading and largest fiber network in the country and our plans at the moment remain the ones that we disclosed in the last calls. So that's related to -- yes, for the CapEx, I think was your second question, we are not providing a formal guidance but it should be around BRL9 billion. Up to now, it was what we disclosed and we have to take into account that this year, we had extraordinary CapEx of the BRL400 million to integrate all assets here in our company. So we keep the same level, okay, that there was this extraordinary of BRL400 million to integrate Oi up to now 7 and we are always around the BRL9 billion. And that's what we disclosed about CapEx and we are confident that we are investing in the right technology that will give you more revenues in the future, both in the mobile and also in the fixed business that is fiber.
Marcelo Santos: Christian, just one question. For 2023 on the CapEx, should we expect similar levels in 2022 or maybe lower because you don’t have the extraordinary BRL400 million?
Christian Gebara: We still like discussing it but it's going to be similar. We have other type of obligations related to the 5G auction. So you can consider similar levels.
Marcelo Santos: Okay, thank you very much. Very clear.
Christian Gebara: Thank you for the question, Marcelo.
Operator: Our next question comes from Vitor Tomita from Goldman Sachs. Please, Mr. Tomita, your microphone is open.
Vitor Tomita: Good morning, everyone and thanks for taking our questions. One quick question from our side. We found it quite interesting to see the new incentive plan for managers being based on Telefonica Brasil shares. Could you confirm if there is still a part of compensation that will remain based on shares of the parent company? And on what’s the relative size or mix is between compensation based on Telefonica Brazil versus Telefonica Group shares. And that would be our question. Thank you very much.
Christian Gebara: Hi Vitor, this is Christian. The long-term incentive plan before was just related to the group, group KPIs that were the shares, the award the free cash flow and also ESG related to emissions. Now it's 50-50. So 50% will be local. So it's Vivo, is Vivo shares, Vivo free cash flow and emissions, local emissions and the other 50% will be Telefonica shares to the total free cash flow and [indiscernible].
Vitor Tomita: Very clear. Thank you.
Christian Gebara: Thank you for the question.
Operator: Our next question comes from Fred Mendes from Bank of America. Mr. Fred Mendes, your microphone is now open.
Fred Mendes: Thank you. Hello. Good morning, everyone. Thanks for the call. I have two questions as well. I mean the first one on the working capital. I know there are a lot of lines moving there, fiscal gains, et cetera. But just trying to wonder if it was a bit smaller, the contribution – the positive contribution this quarter, if we should start to assume this as a sustainable level or not necessarily? This will be my first one. And then my second one, more on Vivo Money. Interesting, you were growing at 60% quarter-over-quarter give or take, this quarter was like 100%. So just wondering how you see – I mean do you think you already found the correct business model for this segment and now it’s starting to scale. And if you're already in a point of breakeven, so just wondering how we should see the scale of this business for next year. Thank you.
Christian Gebara: Fred, this is Christian. I will start with the second one. I'll leave David with the first one, okay? So yes, you're right. I think we got on track and we know how to do it. So Vivo Money, it's growing a lot. We decided to show the number because it's very positive, even in not only the amount of credit given but also if you look the number of contracts and when you compare to last year, it's growing in 6.5x. And if the monthly amount of credit that we are originating every month, you compared to the same period last year is 9.3x. So again, we still have room, we have room to expand not only expand the customer base that we can reach now that we have a model that is getting better every time. But also the type of service that we can offer. Today, we are lending money but not associating that with a specific purchase of a service from Vivo. So we're going to start now, started already, piloting but we're going to accelerate that, relate that to smartphone acquisition, not book acquisition and many other type of acquisition that we are related to the verticals that we are deploying. So positive that we could grow it even more. Today, as I said, BRL160 million of credit given it's already a relevant platform when you compare to other Fintechs that started doing this business and we have room to grow it even more. And together with the Vivo Money, we have another portfolio of financial services that we are also growing. Goes from insurance of Vivo Pay and many others that we are about to launch. And as I said, also, we bought an open banking company that is Clavin. So we are very confident that we can be a relevant player in this field and also associate the financial service capability with our business, giving a way to customers, not only to pay but to get credit to acquire more of our services and products. I don't know if it's answered Fred, otherwise, I pass it to David.
Fred Mendes: Perfect, Christian. Just a follow-up on this, if I may. And in a more mature stage, Vivo Money and the other initiatives combined, should they have like a similar level of financials than the rest of the companies? Or is that completely different business and margins should be quite different? Thanks you.
Christian Gebara: It's totally different business. And even in financial services, we have different margins in different business. Some of them, I think, will be very high margin. And I think lending, we are being able to capture a lot of value out of Vivo Money. Others may be also a way for us to increase engagement and customers using our platforms to do many other things and then we're going to reduce churn and increase lifetime value. And insurance, we also make money. So depending on the business within fintech or final the financial service will have a different KPI and different model. But in the end, I think all of them will help us increase revenue in especially lifetime value and reduce acquisition costs. So we are positive that we started to show market, that we believe now that we are ready to be a digital ecosystem and we have all the assets to be the winner in Brazilian market.
Fred Mendes: Perfect, thank you.
David Melcon: Hi Fred, I will take the first one. I mean, look, it's difficult to predict working capital in the future now considering the volatility that this line used to have. But one thing is important, just to consider the impact we have this quarter, plus some of the tax assets that we have still in the balance sheet, you can count with BRL1.2 billion that we will monetize in the next, let's say, seven, eight months. So for the rest, is something that we keep on with exploring to time to maximize the working capital but difficult to predict.
Fred Mendes: Perfect. Super clear. Thank you, David. Thank you, Christian.
David Melcon: Thank you, Fred.
Christian Gebara: Thank you, Fred.
Operator: Our next question comes from Feni Kanamori from HSBC. Mr. Feni, your microphone is open.
Feni Kanamori: Hi, thanks for taking my question. So I just want an update on what is happening with the Oi adjusted closing price since you had deposited the money with the court, how is it accounted in the balance sheet currently? And second question, because you have disconnected the 3 million clients, is there any change to the synergy estimates that you have given previously? Thank you
Christian Gebara: Second question, sorry, I didn't get the second one, Feni.
Feni Kanamori: Since you have disconnected some 3 million clients, is there any change to your estimates in synergies that you…
Christian Gebara: Okay. Okay. So let's go to the second one. We got 12.5 million access from Oi and we disconnected 3 million due to some business criteria that we believe are the right one and we're not the same at the time of the signing. So that's also good because these customers were inactive and we are saving the fiscal payment, there's a tax that we pay for keeping customers in the customer base. And even when they are not active and they were inactive in this case, it doesn't change the number that we gave for synergies. So when we talked about our synergy level that was BRL5.4 billion. We just talked about synergies in OpEx and CapEx. No, we didn't talk about synergies in revenues. So all this disconnection, it doesn't change anything in synergies. It's just an operational decision that we took. So this BRL5.4 billion synergies were network spectrum, integration of our sales and customer care and others. So they are not related to customer base. And revenues are there and we are already migrating customers to Vivo. So it doesn't change the synergy that we presented to the market. Regarding the price adjustment, I think was the first question, it is mainly due to the disconnection of customers that were inactive. Now we presented a claim, the three buyers presented a claim of a price adjustment of, in our case, is equivalent of BRL1 billion, more or less, that's equivalent. And we had some money that we already had here retained that was around BRL500 million. So we claimed a little bit more than EUR 1 billion in adjustment and we had retained around BRL500 million. The judge decided that we needed to make a deposit of this BRL5 million that we had retained. So we made this deposit and the deposit is in a sort of co-account [ph] that depend on the decision of the arbitration. We are now going through an arbitration to decide if the adjustment requirement is correct or not. So why we are discussing that? That may take some time. This money that I just mentioned to you is in a deposit that's related to the decision that we're going to have in the next few months.
Feni Kanamori: Thanks. Just a quick question. So in the current balance sheet that you have, where is this reflected? Is it in the cash or is it in the judicial deposits?
David Melcon: Let me comment on that one. So at the moment, we have sitting in our financial debt, what we call contractual obligation. This is the BRL560 million that Christian referred to. This is on the liability, so financial debt at the end of September and the potential claim of BRL1 billion, we haven't recognized any impact that would be positive in the case that this will end up with a final decision so far, there is no positive effect recognized in our balance sheet at the end of September.
Feni Kanamori: Thanks very clear.
Christian Gebara: Thank you.
David Melcon: Thank you.
Operator: The question-and-answer section is over. I would like to hand the floor over to Mr. Christian Gebara for the company's final remarks. Please, Mr. Christian, you may proceed.
Christian Gebara: Okay. Thank you, everyone. I’d like to follow our call. As you could see strong and positive results in all areas and in all KPIs. So we’re very confident of going forward, we are in a specific and good momentum to capture even more value in the next quarter. So any other questions that you may have, please, you can reach us. And again, thank you for following our call. And we are going to be in touch. Thank you so much.
David Melcon: Thank you.
Operator: Vivo's conference call is now closed. We thank you for your participation and wish you a very pleasant day.